Operator: Good day, and welcome to the InterDigital, Inc. First Quarter 2020 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrick Van de Wille. Please go ahead, sir.
Patrick Van de Wille: Thanks very much and thanks everybody. Good morning and welcome to InterDigital's first quarter 2020 earnings conference call. With me this morning are Bill Merritt, our President and CEO; Kai Öistämö, our COO; and Rich Brezski, our CFO. Consistent with last quarter's call, we'll offer some highlights about the quarter and the company, and then open the call up for questions. Before we begin our remarks, I need to remind you that in this call, we will make forward-looking statements regarding our current beliefs, plans and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release and our annual report on Form 10-K for the year ended December 31, 2019, and from time to time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof, and except as required by law, we undertake no obligation to update or revise any of them, whether as a result of new information, future events or otherwise. In addition, today's presentation may contain references to non-GAAP financial measure. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our first quarter 2020 financial metrics tracker, which can be accessed on our homepage, interdigital.com, by clicking on the link on the left side of the homepage that says Financial Metrics Tracker for Q1 2020. Finally, we are doing this call remotely. If for any reason, there are issues, I ask you to be patient, we will make sure we reconnect. And with that taken care of, I'll turn the call over to Bill.
Bill Merritt: Thanks, Patrick, and good morning, everyone, and thank you for joining us on the call this morning. I appreciate its crazy time and I hope you and your families are well and find your way through this difficult period. When we last spoke, I talked about how 2019 represented the culmination of a long and productive strategic period of the company, one that landed in an exciting new strategic position with a single powerful long-term R&D engine during a strong and growing mobile device licensing business and new consumer electronics licensing business and also driving additional licensing opportunity in IoT and infrastructure. Equally exciting is the fact that we can do all of that. So I have a business with revenue potential beyond $700 million while keeping our costs at 2017 levels, the cost level before we began this journey. This created incredible operating leverage for us as all added revenue was dropped to the bottom-line net of taxes in some cases a modest level of revenue sharing these are flows of where we work. With all that done 2020 represented our opportunity to execute and deliver that amazing value to shareholders. And that's what we're doing. We started the year completing some smaller deals around our mobile business and our new CE business. We also secured enough market information and negotiating history on the CE side to put a mark around revenue for that business 150 million in 3 to 5 years. We then secured our strong license renewal Huawei last week, managing to navigate the choppy waters of the trade wars, the COVID crisis and the particular challenges facing Huawei. To deal with all the open publication of our royalty rates, which we posted on our Web site as part of the transparency project. We started with those rates and applied our typical discounts for factors such as term, volume and special market considerations. It also reflected the challenges in Huawei's business that includes both the COVID-19 pandemic and the specific governmental challenges. When we posted our rates we expressed the cautious optimism that our effort and transparency, it was held by licensing media as a new level of transparency that the industry would reduce discussion around license terms and expedite deals. We believe the Huawei deal supports that initial optimism. The Huawei deal also included with a minimal amount of litigation, saving 10s of millions of dollars as compared to prior agreements with Huawei. I believe this deal will work perfectly what our strategy was intended to do. Increase the net value of licensing deals through some combination of higher rates, lower litigation costs and/or shorter timeframe to get to the final deal. It also frees the company to focus on additional opportunities driving still more value. The deal also represented another opportunity for the company to demonstrate its fair and pragmatic approach to licenses. These are not easy times for companies including Huawei. When we found a formula that worked as well to have them on-board again as a licensee. In fact, upon completing this license term, Huawei will have been licensed for a decade and we will join the list of licensees who have been with us for at least 10 years. That is currently includes Apple, Sony, Sharp and Samsung, in particular, has been a licensee for almost 25 years. The length and stability of our license engagements speak volumes to the continuing strength of our innovation, our fair and transparent approach to licensing and the important role we played and continue to play across multiple generations of standards and video and wireless technology. Our job now is to continue executing on our plan with both ZTE and Huawei license, we are focused on our remaining unlicensed companies, including Lenovo, Xiaomi, Oppo Vivo and TCL. Together these represented approximately one-third of the global handset volumes with many of those sales outside China. Combined, we're confident that they will bring us from our current revenue platform of approximately $340 million to our goal of $500 million. We will also focus on our upcoming renewal with LG. Additionally, we're diligently at work leading with our new CE customers looking to drive even further success this year. In some when we executed the Technicolor acquisition, we had two intertwined goals. One was to drive revenue that described our progress there. The second goal was on the expense side and as Rich will describe later, our hard work has resulted in achievement of that goal. So we are off to a very fine start this year. And we've done so and what is as we all know, is very difficult in our environment. Luckily, our business is relatively immune to the adverse economic effects of the virus, as Rich will discuss in more detail, our revenue is almost entirely based on fixed price agreements. So we expect only minor revenue decline based upon the lower smartphone shipments that are expected over the next two years. Of course, those lower expected volume did impact in Huawei license as they should, but that impact wasn't tempered by the fact that the deal was longer term and the global volumes are expected to recover over the five-year period of the deal. The crisis has also not materially impacted the ability of the company to function. We are continuing regular dialogue with our licensees as many agents have been on lockdown for an extended period of time, and have become accustomed to working over video and audio conference calls. We also preemptively tested our remote work environment prior to the crisis, taking the entire company remote to three days to verify our ability to work effectively in a fully virtual environment. That's when we shut our offices in mid-March, seeking to protect our workforce and also to prevent the spread of the virus, we were ready to operate in that environment. Additionally, many of our engineering projects already occurred across sites. For example, our Montreal team is collaborating with our [indiscernible]. The engineers familiarity with remote collaboration made the work move to work from home largely fundamental. To summarize, we have created the company we set out to create at the beginning of our strategic journey. We have integrated the assets successfully and quickly and are now executing on plan despite the current crisis. With that, let me turn it over to Kai for more information on licensing and R&D.
Kai Öistämö: Thank you, Bill. It's been a very successful start for the year in both licensing and in our R&D efforts. Let me touch on both. Obviously, the headline is our successful renewal with Huawei. The fact that the deal was able to get done despite trade issues, travel restrictions, and COVID-19 speaks volumes to the strength of our portfolio and our diligent licensing efforts, but also highlights Huawei's willingness to license. We feel that with the publication of our fair rates and transparency around portfolio and licensing practices as well as our outstanding of arbitration to resolve differences, we offer a perfect counterparty to a company that is willing to take a license. Hopefully, other Chinese companies will recognize that and follow the leader Huawei and ZTE in concluding agreements. The renewal with Huawei is now the sixth license agreement that they've been able to conclude in the past six months. We've often spoken of our commitment to deliver on our revenue goals, and we are diligently doing that. On wireless side, those deals have included major brands like ZTE, Huawei and Google. These are all important companies and the licensees helped to grow the revenue, but also serve as a validation of our important contributions from the leading technology players. On consumer electronic side despite our goal -- the goal was to proceed with smaller agreements that would serve to validate our rates before moving to larger negotiations. And that's what we are doing. So I'm pleased to say we are executing on all fronts. On the research and development side, I can say that while COVID-19 has had a limited effort in our teams as Bill described the health crisis as nonetheless slowed the environment in which we operate. The international travel to standards meetings is obviously halted. Standard meetings are taking place by conference call, a painstaking process that slow down is not all bad, in fact, typically, the companies that want the standards development to proceed at a breakneck pace are those that almost only limited resources and many of our colleagues at standards have been advocating a slowdown, especially after the accelerated work to deliver first release of 5G. Some of our video technology development work involves a largest studio style setups. So we refocused on other development work that doesn't require that capability. So there has been some impact, not all negative, but largely our work is able to continue very effectively. I appreciate some of the video work we are doing is very new to some of our investors. So we've posted links to some excellent feature articles produced by leading video technology trade media, on our Web site homepage. I encourage you to read them. They describe our groundbreaking work in digital doubles, augmented and diminished reality, visual technology science, and other areas. So to summarize, we've been through a period of tremendous progress on licensing side and remain focused on continued execution there and our research activities, while slightly affected by the Coronavirus issue nonetheless progressing well. With that, I'll turn over to Rich.
Rich Brezski: Thanks Kai. I'll start today by reviewing our first quarter 2020 results, then I'll discuss our high level expectations for Q2. Our first quarter results were very strong, especially in the context of the current macroeconomic environment. Revenue came in above our expectations at 76.2 million and we benefited from two new agreements we signed during the quarter, which included just under $1 million of past sales. Our operating expenses came in at 71.5 million, which was in line with our previously communicated expectations. However, it is worth noting that these expenses included nearly $3 million of one-time costs associated with our efforts to bring expenses in line with 2017 as like described on prior calls. Excluding these one time costs, we have now delivered two consecutive quarters with an ongoing economic cost of running the business at or below the 2017 targets. We take a lot of pride and having met our goal, especially with a much larger patent portfolio, and a much longer research team. That being said, we know how important ongoing cost control is to our company and to maximizing our operating leverage. Although we've checked that off, let me emphasize that we continue to be committed to carefully managing expenses. Litigation costs, which are excluded from that 2017 metric were roughly $5 million in the quarter. This result was impacted, as expected by a slower ramp up in outstanding matters due to the COVID-19 pandemic. Our Q1 results also included a one-time non-operating gain of about $5.5 million to write up the value of a long-term investment. In early Q2, we sold nearly half of that investment as part of around the financing and the increased value with less the valuation from that sale. We reported a $1.8 million tax provision on just $200,000 of pre-tax book income, as our interim rate continues to be distorted by foreign, state, and perm impacts that are generally small and semi fixed, but magnified in periods of breakeven earnings. Finally, it's important to note that our first quarter results do not include any benefit from the recently announced license renewal with Huawei, which was signed after March 31. Looking forward to Q2, we expected our recently completed renewal with Huawei, combined with contributions from other fixed price agreements will help drive another strong quarter, even as global shipments of smartphones are expected to decline substantially. Collectively, our fixed priced agreements make up more than 90% of our revenue and includes substantially all of our key licensees, including Apple, Samsung and now Huawei. Under such fixed fee agreements, our revenue is not sensitive to our customers underlying volume of shipments. This is a great benefit to us during periods of uncertainty, such as the economic fallout from the COVID-19 pandemic. Having said that, we do expect declines in shipments from our per unit basis customers. That should lead to a sequential decline in the variable portion of our revenue which contributes roughly between 5% and 10% of our overall revenue. All in, including both anticipated declines in variable per unit revenue and our preliminary accounting estimates for the Huawei agreement, we currently expect Q2 revenue to be in the range of between $97 million to $105 million, including $82 million to $86 million of recurring revenue. Putting aside any Q2 specific impacts to our variable revenue, we now see our revenue platform and about $340 million and we maintain our goal of increasing our recurring revenue platform to $500 million from wireless licensing plus another $150 million from our CE business, with additional contributions from IoT and infrastructure coming in over time. We will provide updated revenue and expenses guidance for Q2 a bit later in the quarter. But let me speak to a couple of the implications of the Huawei agreement on operating expense. First, in connection with the Huawei license, we and Huawei agreed to dismiss the litigation between us. This will favorably impact litigation expense going forward, which we would have otherwise expected to increase over the balance of the year. Second, we expect to report a charge of roughly $2 million in the second quarter, related to an increase in performance based or achievements that will vest under long-term compensation plans. I'll turn it back over to Patrick.
Patrick Van de Wille: Thanks very much Rich. Casey, if we could open lines of questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Eric Wold with B. Riley.
Eric Wold: Thank you. Good morning. I guess, first question is probably the last comment around [indiscernible] obviously within Huawei agreement [indiscernible] expecting to increase [indiscernible] Huawei sign mitigation expense for this year should be lower than the last year?
Bill Merritt: Yes. So Eric, what I'd say is, we certainly expected it to increase as the year went along, having said that, that's prior to the resolution with Huawei. Having said that, Q1, as I noted, came in a little bit lower than we might have expected earlier in the year and that was because of slowness in the rollout of cases with the pandemic. So there's been some activity with Lenovo, not ready to say exactly where litigation is going to come out in Q2. But it's not necessarily going to go down just yet. It's just not going to increase at the rate that we might have otherwise expected.
Eric Wold: On the litigation, and [indiscernible] typically any major change in timing right now because of the COVID pandemic and how would you frame public filings, how do you train what we are going to dispute with Lenovo, what we are going to dispute with Huawei and how they are similarly different?
Bill Merritt: Yes. So, I think the courts generally are trying to move things forward. I think that things slows down a bit. But, we have scheduled and so far we have dates on the calendar and we think that this calendar dates will be here too, so that that's good. In terms of, how did the Lenovo litigation looks versus Huawei litigation, there is a couple of differences. So, in terms of, the rate setting that we've asked for in U.K., so that was the first filed case, and we asked for a worldwide rate. So that's always a good position to be the first to have filed the case because that's an important factor and generally what courts decide to do different than Huawei were they had first filed in Shenzhen and then the second filed in the U.K. I think the other important factor is having Huawei done gives us another very important benchmark to bring into the Lenovo litigation in terms of demonstrating, that the rates that we have are fair, reasonable and non-discriminatory and what they do maybe, so I think that happens, it's a great piece of evidence to present in that case. So, and third, what you find a lot of times with the litigants is, they will ride the coattails with somebody else. And so it can reduce their costs because, as an example, the other company may be the one bearing the cost of patent and validations are bearing the costs of other things. With Huawei now, having -- signed a license agreements with us, and now, both parties have agreed to settle litigation. Lenovo now is going in, wants to do the same thing that Huawei was doing, it now starts to bear the cost of all of those activities which certainly gets included in the calculus, I believe on their side and when to enter the licensing limitation when there's not. So, I think at this point, we're very comfortable with the position of that litigation, it had been and I think it's even stronger now with a Huawei agreement.
Eric Wold: Terrific. And then question on the 3D licensing with the Technicolor IP [Technical Difficulty] $150 million, 3 to 5 year goal for revenues under that and hence have announced growth in framing deals around pricing, what is the path from here to that 150 look like and what are the major hurdles of getting major deals signed, games pricing deals and smaller companies kind of set the framework, how important is that on a bigger deal, or is there a list of bigger guys who would say, we kind of don't care with the smaller guys thing, we're looking at it.
Kai Öistämö: So, I think the smaller ones are very important in terms of, especially when we get -- not this one but a kind of a number of them together. So, they actually verify the value of what our offering is. And they do play, I think an important benchmark also in negotiations logically, it's like, whoever, it might be Samsung or so. And that being said, and so -- in a standard essential patent side, obviously that's, the baits are what they are, on the CE side, we do have a known [SAPs] [ph] included as well and but our rates are, so the offering is the same to whatever the license is, there are and we are very comfortable with what we have now proven already so far in the marketplace.
Eric Wold: Okay. And then last question for me, kind of looking at the $30 million of the revenue platform you laid out in the most recent presentation, kind of how do I kind of figure out that relative to what was recognized last year, then entirely new deal have been signed since then. And should we assume that someone have a fairly linear progression throughout the year?
Bill Merritt: Yes, Eric. I mentioned in my prepared comments that we're looking at an $82 million to $86 million in recurring revenue in Q2. So 340 would be like $85 million quarterly run rate. So, it reflects basically everything that happened since 2019 and that includes new agreements, as well as any licenses that turned out at the end of '19. And of course, the variable impact on Q2 is included in the Q2 range.
Operator: Take our next question from Charles Anderson with Dougherty & Company.
Charles Anderson: Yes. Thanks for taking my questions and congrats on getting the Huawei deal done. I want to start with speaking of the Huawei deal, and then you mentioned your confidence level in that next year of licensees that you don't have under contract today. I wonder to what degree is the Huawei deal example of how some of those may look, was there anything that you feel unique about Huawei relative to licensing that next year just trying to understand the expectation level we should have for -- when you do, you execute on that next year licenses and I have a follow up.
Bill Merritt: So, it's is kind of walk your way through our rate sheet, and then think about how the different companies may fit into how that will operate with respect to this stuff is. It starts at the same base rate that's across the customer base. We've always had factors like volume discounts that can differ between one company or another. We've talked about other discounts related to the regions in which a company ships. So that can be a different factor. And one thing that's expected Huawei, with their limited access to Google services, obviously, that business has really shrunk back to China to a large extent. Otherwise, if you think about forecasting, because that is, particularly in fixed price deals, you're going to need to create a forecast for a company. And so with respect to some of the companies that I see a common factor across all the companies today is the COVID-19 impact. So let's say that that kind of depresses the whole market uniformly over the next couple years. But there are the particular Huawei specific issues around access to Google Mobile services or other issues that are going on that can be unique to them. So you kind of need to kind of work your way through all those and compare and contrast the different customers in China. And I think you can start to get a feel for how they would compare as well.
Charles Anderson: Okay, great. And then I've got a question for Rich. Thank you, Rich for the commentary on OpEx. I know you don't guide OpEx specifically, but I'm curious if I exclude the what's happening in litigation. If I exclude the 2 million, I guess it'd be a performance comp, and then some of the one time impacts we saw in Q1. So taking all those aside, how should I think about the trajectory of OpEx otherwise? And then it sounded like the unrealized gain on the investment in Q1 and looks again, take it out of non-GAAP. How should I think about the treatment of the realized gain in the impact on net operating income in Q2?
Rich Brezski: Yes. So at least from a GAAP perspective, the gain has been recognized, right? And then the realization of that, doesn't hit the P&L in Q2. From an OpEx perspective, at this stage without being overly precise, I think about the levels that we're at, if we -- as we review things and get a better beat on Q2 particularly where litigation stands, we'll include some commentary when we provide the revenue guidance. As you know, typically, it's not our practice to provide expense guidance, but we've been doing it a little more regularly on the heels of the two separate Technicolor acquisitions, things eventually smooth out, I probably wouldn't feel the need to continue to deal with that. So, in summary, for now, I would say we're kind of in the range that we're at, as the 2 million and we'll provide an update if we see anything dramatic change in there.
Charles Anderson: Okay. Fair enough. And then lastly, for me, I know in the past you had given some commentary as to future expected cash inflows from all of your deals. I know we're probably midway through that since the last time you gave the update. But since we've now signed Huawei, I wonder if you'd be willing to update us on, maybe it's just for this year or any multi-year period expected future cash inflows. Thank you so much.
Rich Brezski: Yes. So, not providing an update today, but we'll certainly look to provide an update at some point in the not too distant future.
Operator: [Operator Instructions] We'll take our next question from Scott Searle with ROTH Capital.
Scott Searle: Hey, good morning. Good afternoon. Thanks for taking my questions and congratulations on the Huawei deal. Just to get a little more clarity on Technicolor, could you give us an idea in terms of what video was in the March quarter? And in terms of your expectations of that recurring component of $82 million to $86 million in the June quarter? What are you thinking about from a video perspective? I know that's been ramping up a little bit, but to help guide us a little bit in terms of how that fits in? And just to clarify, it sounds like then $15 million to $20 million would be past sales being recognized in the quarter. Is that a one time event? Or is there some sort of recurring element that will be going on related to larger past sale deals?
Rich Brezski: Yes. I'll start with this, the second part of the question and go back to the CE business. On the guidance, the $82 million to $86 million is the recurring number. So the Delta would be related to past. And I will just leave it at that. There's a recurring number, I mean, we always say don't ignore past sales, but we really track and measure and emphasize the recurring number, right and the platform. On the CE side, it's in the neighborhood of $4 million on the quarter, there was a little bit on of -- we have to auction time to time, so it was a little bit of favorable true-up in there. So the annualized rate is probably a little bit south of that. All-in, it's not dramatically different from a year ago, despite Chinese new deals. As Kai noted, those deals are smaller, but they're still very important. So we're very happy to make any progress with new deals. And in time, we'll start to add up.
Scott Searle: And then, to dig in a little bit on that target of 700 million in revenue. It seems like there's a 50 million-ish type of component related to IoT and infrastructure. Could you do so a little more color on that, is all of the IoT then related to Avanti, is this external to Avanti. And when would you expect to see some of that starting to accelerate?
Bill Merritt: I'd say that's a rough order of magnitude the $59 million number and I'll give you a couple reasons why. Okay. So on the IoT side, there's still a lot of uncertainty, right, in the IoT market in terms of penetration, cellular how the various middleware gets deployed, what's the nature that middleware and so, until that kind of sorts itself out a little bit, we're not comfortable providing a more specific number around that opportunity. We think it's so meaningful, but and that's why I say that 50 million is just kind of a place marker for the time being. In that would be, things like Avanti revenue which is, that's moving along just fine. But that's still a small component of revenue, the number of connected cars remain fairly small. The infrastructure today we have revenue today on the infrastructure side. Again, if it's an area that will evolve under 5G as the types of deployments will differ than 5G, that we think that there's a nice solid opportunity there. And I say for all these opportunities, the value of them is, there's very little of any cost to carry the opportunity. So, we're currently looking at, how we may go about the infrastructure market, it's a lot of the innovation that we do for the terminal replicates itself on the infrastructure side and there's an opportunity to license. It's a fairly concentrated market today, but that could change in 5G depending upon the microcell deployment. So, I think as we go through this year, we'll probably spend a little bit more time building those numbers up a little bit better. And then, and once we see the market develop a little bit better over there, we'll have a better idea of what, to put out a number that would be, I want to say comparable in quality and in data to what we've done on normal and what we've done on CE. Those are very much informed by established markets, establish licensing practices, negotiating history, things that we don't quite have yet on those other two.
Scott Searle: Got you. And lastly, if I could just to dig in a little bit more on some of the parameters around Huawei, I know without getting too specific, but there are a lot of moving elements there where there's a strong domestic presence, but their export presence has really been marginalized by trade issues, by other band related issues, inability to use Google Play within their devices, et cetera. So, you see their share declining not clear exactly at what rate but in terms of extrapolating that and then looking at some of the unsigned Chinese OEMs specifically, Xiaomi, Vivo and Oppo. Xiaomi has exports that are at comparable or above, Huawei levels, Vivo and Oppo probably a little bit less but moving in the direction where they probably quickly pass them from an export standpoint. So when you're thinking about both their competitiveness and the opportunity for those vendors, should they be similar size or larger type deals, as you're starting to think about the annual opportunity with him over the next couple years? Thanks.
Bill Merritt: As I mentioned to Charlie, I think that, the things that you wanted to ask about are definitely the factors that we would look at. The beauty of actually having a very settled rate sheet in a very fairly transparent regime. So you actually look at things like current volume forecast, regions of sale, price point of devices, risk and forecast as well because I think that there's a different risk level between, for example, an Oppo forecast today, a Huawei forecast today, right? So those come into play, I didn't want to talk to the relative size of the other deals, but I think as I said, I think our rates are fairly transparent and how we handle things are fairly transparent. I think people can work their way through that. Obviously, when we look at the collective group that is unlikely in China, Oppo Vivo, Xiaomi, TCL, Lenovo that group, it is five or six companies. What we're saying is that that group will get us off the platform. So I think you can kind of look at that as a marker as well as to what we think the, "average" size of the deals to be, but obviously these will be above and below the average.
Operator: We will take our next question from Anja Soderstrom with Sidoti & Company.
Anja Soderstrom: Hi, everyone, and congratulations on a good quarter on getting the Huawei done, a lot of good questions asked already, but if you can just give us some color on maybe how the current environment has impacted discussions with other Chinese OEMs if at all?
Kai Öistämö: As kind of noted on the ability to make a get Huawei deal across the finish line, the current environment has not really kind of impacted on our capability to execute. Now if I would say this, that it's kind of a interesting and somewhat surprising that getting meetings done in this environment where it's all virtual, it's actually much easier, just from a logistics perspective setting a meeting or next week or two weeks from now with anybody is way easier than agreeing to travel logistics and meeting logistics and everything else. And that's exactly what we are experiencing. And I would kind of say, this way that especially on the technical meetings, where we go through the kind of a technical aspects of our portfolio, it's kind of a signal, I would say, significantly increase the rate of interactions with all of our customers. And also on business terms, I would say the same way that it's -- the frequency of all the interactions that is, I would say gone up rather than the other way around now. It's predicting any deals in the future it's very difficult and if you look at the history, we rather take the right deal and rushing into the wrong deals now. So making a prediction on when you get a deal across the finish line. That's hard, harder to say, but the activity has gone up and the interactions have gone up.
Anja Soderstrom: Okay, thank you. Appreciate that color. And then also on the consumer electronics side, you said that, also said that that you're proceeding with a smaller agreements to validate before you move into the larger agreements? So do you have any sort of timeframe for this when you're sort of going to approach the larger deals in this segment?
Kai Öistämö: Again, kind of giving you a specific timing on any of the larger deals, it would be premature again, I just read the right what I just said that we -- our strategy and approach has been that we rather make the right deal, irrespective of whether it's in that -- first quarter it is not at all. And it takes the time that it takes. That being said, we've given the guidance on getting [indiscernible] years.
Operator: We see no further questions at this time. Mr. Van de Wille, I'd like to turn the conference back to you for any additional closing remarks.
Patrick Van de Wille: Thanks very much, Casey. And thanks to everybody for joining us today. As Bill and Kai mentioned, we are taking steps of individual to ensure the safety and security of our company. And our concern for safety and security certainly stands for investors so please stay safe accept our best wishes. We're proud to be with you again next quarter. Thank you. Have a good day.
Operator: Thank you for today's presentation. Thank you for your participation. You may now disconnect.